Operator: Welcome to the CES Energy Solutions First Quarter 2025 Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Tony Aulicino, Chief Financial Officer. Please go ahead.
Tony Aulicino: Thank you, Operator. Good morning, everyone, and thank you for attending today’s call. I’d like to note that in our commentary today, there will be forward-looking financial information and that our actual results may differ materially from the expected results due to various risk factors and assumptions. These risk factors and assumptions are summarized in our first quarter MD&A and press release dated May 8, 2025, and in our annual information form dated March 6, 2025. In addition, certain financial measures that we will refer to today are not recognized under current General Accepted Accounting Policies and for a description and definition of these, please see our first quarter MD&A. At this time, I’d like to turn the call over to Ken Zinger, our President and CEO.
Ken Zinger: Thank you, Tony. Welcome, everyone, and thank you for joining us for our first quarter 2025 earnings call. On today’s call, I will provide a brief summary of our impressive financial results released yesterday, followed by an update on capital allocation and then our divisional updates for Canada and the U.S., as well as our outlook for the remainder of 2025. I will then pass the call over to Tony to provide a detailed financial update. We’ll take questions and then we will wrap up the call. As always, I will start my comments today by highlighting some of the major financial accomplishments we achieved in Q1 of 2025. These include all-time record quarterly revenue of $632.4 million, which was 7% higher than Q1 of last year. Quarterly EBITDA of $99.9 million. EBITDA margins of 15.8%. Total debt to trillion 12-month EBITDA was at 1.17 times at the end of Q1 2025, which was at the lower end of our targeted range of 1 to 1.5 times. Cash conversion cycle days in Q1 of 103 days, a significant achievement and well below the lower end of our targeted range of 110 days to 115 days. As of the end of Q1, we had repurchased 13.3 million shares of the 19.2 million shares or approximately 70% of the amount allowed under our current NCIB program. By way of update on our capital allocation plans, I’m happy to report the following. Consistent with our prior messaging, we intend to address the dividend once per year in Q4 or Q1, as evidenced by our 42.5% increase announced in March. This is possible due to our confidence in the cash generating capability of CES in the current market environment. We will continue to support the business with the necessary investments required to provide acceptable growth and returns. This includes anticipated CapEx in 2025 of $80 million. We will continue to investigate strategic tuck-in acquisition opportunities into related business lines or geographies where we believe we can add value and grow returns. In the coming months, we intend to fully execute on our NCIB program of 19.2 million shares, of which approximately 2.9 shares remain to be purchased prior to its expiry on July 21. At that time, we intend to again -- to once again renew the NCIB for another 10% of the float for the upcoming year. We will continue to target a debt level in the 1 times to 1.5 times debt to trailing 12-month EBITDAC range. I’ll now move on to summarize Q1 performance overall and by division. Today, our rig count in North America stands at 182 rigs out of the 687 currently listed as operating, representing an industry-leading North American land market share of over 26.5%. In Q1, 64% of CES revenue was generated in the United States and 36% in Canada. In fact, our Canadian revenue set an all-time quarterly record. Of the overall corporate revenue, 54% was generated by the Production Chemical businesses and 46% by the Drilling Fluid businesses. As referenced on our year-end 2024 update call in March of this year, margins in Q1 were adversely affected by a variety of headwinds, the most notable being; an influx of rigs all starting at the same time in early January, which caused noise in the numbers during the first half of Q1; Canadian dollar devaluation versus the U.S. dollar during Q4 and Q1, which affected cost of goods on our Canadian business purchases, which are almost entirely made in U.S. dollars; tariff uncertainty, which has caused massive restructuring of our supply chain as we attempt to purchase and manufacture as much as possible within the same country as it is being sold; counter tariff uncertainty on our Canadian businesses due to approximately 60% of our inputs being purchased in the United States. In Canada, the Canadian Drilling Fluids business continues to lead the WCSB in market share. Today, we are providing service to 41 of the 120 jobs listed as underway in Canada or a 34.2% market share. The active drilling rig count in Canada so far in 2025 has been trending consistently higher by approximately 5% year-over-year. We remain optimistic about the prospects for 2025 due to completion and full start-up of infrastructure projects and their associated take-away capacity. The impending start-up of LNG Canada and the recent start-up of Trans Mountain leave us very optimistic about the market conditions in the WCSB as a whole. Although not immune from low oil prices, the WCSB is still in a great position to weather any storm should it materialize. PureChem, our Canadian Production Chemical business, had another very strong quarter in Q1. PureChem continued its outsized growth versus the general activity increases in the company. All of the business lines within PureChem continue to grow as we take market share, win bids and optimize formulations. The revenue and earnings from our primary business, production treating, continues to drive the growth in Canada as we consistently strive to deliver superior products and service combined with competitive market pricing. Although we believe there could be a pullback in completion activity in Canada during the second half of 2025, fracking remains a small contributor to our overall PureChem business. We continue to believe we are the clear number one provider of production chemistry to the Canadian conventional market and we are growing meaningfully in the heavy oil market as well. In the United States, AES, our Drilling Fluids group, is providing chemistries and service to 141 of the 567 rigs listed as active in the U.S. land market today for a continued number one market share of U.S. land rigs at around 25%. This once again marks the ever highest market share by AES at U.S. land market. The number of rigs drilling in the USA is down by just over 4% since we reported in March versus our AES rig count which is actually up by over 2%. We continue to look forward to using this tightening market as an opportunity to showcase our R&D and technology development capability, our manufacturing capability, and our procurement sophistication to continue to grow our market share at AES. We see these unique capabilities as key to enabling us to come out of any potential slowdown with an even stronger position in the market. Currently, we enjoy a basin leading 107 rigs out of the 287 listed as working in the Permian Basin or an all-time record 37.3%. The Permian industry rig count is down since March by approximately 9% overall, but in spite of this, our rig count is up by 7%. This speaks to the quality of our customer base, as well as the fact that operators continue to put more emphasis on performance, as well as stable strategic suppliers. Finally, AES Completion Services continues to operate at a much higher level than prior to our acquisition of them last year. Although still small within the AES division, this team is experiencing outsized growth as they continue to benefit from the AES infrastructure, people, and reputation. Our Jacam Catalyst division continues its trend of strong growth through these past few years and into 2025. The division is focused on further market penetration in all areas in which they operate. An outweighted share of the announced CapEx spend for 2025 is allocated to supporting the growth we anticipate is coming later this year at Jacam. We are also adding staff and key employees in this division due to this anticipated growth. It is important to note that Jacam’s business, like PureCHEM’s, is almost entirely levish to production-related spending by E&Ps and therefore not as sensitive to the same activity related uncertainty that some upstream revenues can face. We look forward to Jacam continuing its march to being the number one provider of Production Chemistry and Service to the United States land market. At this time, I would like to reiterate the confidence that we have in the resilience of our business model in the face of the current market uncertainty. Our business is counter-cyclical and requires minimal CapEx, especially during times of disruption in our industry. In this WTI or tariff -- and tariff environment, we have witnessed expressions of reduced activity levels and capital spending in earnest by some customers. Our current strategy is a continued cautious focus on growth, maintaining relationships with current clients, and continuing to pursue potential new clients and markets. As we have done in previous periods of industry weakness, we will be supporting operators in the weaker environment then reaping the benefits of that support as conditions improve. Since our last call in March, the U.S.-Canadian dollar exchange rate has settled back into the range of where it held most of last year. This will alleviate the sudden cost of goods inflation we were feeling throughout Q1 and into Q2 in the Canadian businesses. Although this pressure impacted costs in Q1 and will again to some degree in Q2, it now appears it was transitory and should dissipate in the coming quarters. With regard to USA tariffs and the suggested Canadian counter-tariffs, these continue to have little to no direct effect on our business in their current state. However, we are continuing initiatives to rearrange supply chains in order to minimize potential exposures as much as possible. We are also reworking some internal production schedules in order to realign manufacturing to produce as many products as possible within the same country in which they are being sold. Although this is a month-long process, significant progress has already been made and we will continue with this strategy until we have insulated the business as much as possible from future tariff risks. I will state again for clarity that we continue to expect the direct impact from tariffs to be insignificant to our overall business. Finally, to address the macro uncertainty in the markets today, I just want to comment that our business has never been stronger or healthier than it is today and that we are uniquely positioned and strategically focused to not only weather this headwind but also to benefit from it. We intend to accomplish this by not only utilizing our NCIB to repurchase and cancel shares at these levels but also through strategic execution of plans to expand our business with customers and markets we already are participating in, as well as some we have been working to penetrate. As always, I want to extend my appreciation to each and every one of our employees for their commitment to the business culture and success of CES. Due to the growth we are still experiencing in all parts of our business, we have increased our total number of employees at CES from 2,530 on January 1st to 2,613 at the end of Q1. This growth is representative of the opportunities we are currently executing on, as well as the business we believe we have upcoming. Although there may be more uncertainty in the markets today, we continue to position ourselves to provide the same industry’s leading support to our customers for the business we currently have direct line of sight on. With that, I’ll pass the call to Tony for the financial update.
Tony Aulicino: Thank you, Ken. CES’ financial results for the first quarter set a record revenue level and demonstrate a continuation of strong adjusted EBITDAC, funds flow from operations and high quality earnings despite muted red counts in the U.S. These results underpin the unique resilience of CES’ Consumable Chemicals business model. CES continued to effectively deploy strong surplus cash flow to return capital to shareholders while investing in strategic CapEx and working capital to support our record revenue run rate and position the company for identified growth opportunities. In Q1, CES generated revenue of $632 million representing an annualized run rate of approximately $2.53 billion and a 7% increase over the prior year’s $589 million. Revenue generated in the U.S. was $402 million and represented 64% of total revenue, compared to $390 million in Q4 2024 and an increase of 4% over prior year revenue of $388 million. Revenue generated in Canada achieved an all-time record at $230 million up from $215 million in Q4 and 14% above the $201 million generated a year ago driven by strong performance in both Canadian Drilling Fluids and PureChem Production Chemical s operations. CES continued to support high levels of service intensity and Production Chemical volumes driven by complex drilling programs and also benefited from the appreciating U.S. dollar during the quarter. Customer emphasis on optimizing production through effective chemical treatments benefited both countries and counter declines in U.S. industry recounts showcasing the resilience of our business model. Adjusted EBITDAC in Q1 was approximately $100 million, compared to $103 million in Q4 2024 and $102 million in Q1 2024. Q1’s adjusted EBITDAC margin of 15.8% compared to prior year and prior quarter margins of 17.3% and 17.0%, respectively, and was in line with the company guidance of being in the midpoint of our targeted 15.5% to 16.5% range for the quarter. This margin reflected variations in product mix, elevated SG&A to support upcoming growth opportunities and input cost fluctuations realized during the quarter primarily related to FX swings. CES generated $60 million in cash flow from operations in the quarter, compared to $62 million in Q4 and $86 million in Q1 2024. The slight decrease in cash flow from operations was driven by an increase in working capital requirements to support record revenue levels offset by very strong funds flow from operations. Funds flow from operations or FFO which isolates the effect of seasonal working capital builds was $78 million in Q1, compared to $69 million in Q4 and $74 million a year ago. Free cash flow for the quarter was $26 million, compared to $35 million in Q4 2024 and $58 million in Q1 2024. As measured by a free cash flow to adjusted EBITDA conversion rate, this equates to approximately 26% in the current quarter or 39% on a trailing 12-month basis. The sequential decrease in free cash flow was driven directly by an $18 million investment in working capital to support record revenue levels, compared to an investment of $7 million in Q4, combined with an acceleration of approximately $5 million of incremental strategic CapEx initiatives during the quarter to mitigate potential future tariff-related pricing and cost increases. Absent these items, free cash flow for Q1 would have been $48 million representing a free cash flow to adjusted EBITDA conversion rate of 48%. CES maintained a prudent approach to capital spending through the quarter with CapEx spend net of disposal proceeds of $26 million representing 4% of revenue. We will continue to adjust plans as required to align with business conditions while supporting attractive growth opportunities throughout our divisions. For 2025, we continue to expect cash CapEx to be approximately $80 million split evenly between maintenance and expansion capital to support incremental accretive business development opportunities and current record revenue levels. And we have the flexibility to alter spending levels commensurate with changes in end markets and required support levels. During the quarter, we continue to be active in our NCIB program purchasing 2.7 million shares at an average price of $7.89 per share for a total cash outlay of $21.1 million representing 1.2% of outstanding shares as of January 1, 2025. To-date, we have repurchased $16.3 million of the $19.2 million available under the current NCIB at an average price of $7.59 per share. And since the inception of the NCIB program in July of 2018, CES has repurchased 75 million shares representing approximately 32% of the outstanding shares at that time purchased for an average price of $3.71 per share. We ended the quarter with $469 million in total debt representing an increase of 17 million from the prior quarter and $35 million year-over-year. Total debt is primarily comprised of the $200 million senior notes and a net draw on the senior facility of $158 million and $102 million in lease obligations. Total debt-to-adjusted EBITDA of 1.17 times at the end of the quarter, compared to 1.12 times at December 31st and 1.28 times a year ago, demonstrating our continued commitment to maintaining prudent leverage levels. The prudent capital structure is further illustrated by our current net draw of $173 million, which has increased by $15 million from the end of the quarter, primarily as a result of our quarterly dividend payment and continued NCIB spending. Following the quarter end, we closed the amendment and extension of our senior credit facility, which included an increase to the Canadian facility by $100 million to get to a total facility size of approximately $550 million versus $450 million previously. The new facility also provides improved pricing, right-size definitions and covenants, and an extended term out to November 2028. This amendment, in conjunction with last year’s issuance of senior notes due May 2029, leaves CES with no near-term debt maturities. The upsized credit facility and improved terms are consistent with the increased size, scale and improved credit profile of CES. The new credit facility provides ample liquidity, optionality on return of capital opportunities, and flexibility to repay or refinance the senior notes on our own schedule on suitable terms over the coming years. On May 2nd, DBRS announced a ratings upgrade from BI Positive to BB Low Stable, reinforcing the resiliency and creditworthiness of CES Energy Solutions. We are very comfortable with our current debt level, maturity schedule, and leverage in the lower end of the 1 times to 1.5 times range, thereby enabling strong return of capital to shareholders and prioritizing a sustainable dividend and share buybacks. I would also note our working capital surplus of $687 million exceeded total debt by $218 million and demonstrated continued improvement, compared to $203 million in the prior year. Our continued focus on working capital optimization has led to sustained improvements in cash conversion cycle, which ended the quarter in 103 days. This also translates to a reduction in operating working capital as a percentage of annualized quarterly revenue to 27% from 28% last quarter. Each percentage improvement at these revenue levels represents approximately $20 million of additional cash on our balance sheet. Internally, we have continued to focus on return on average capital employed metrics at the divisional levels. This approach has led to a cultural adoption of ROACE maximizing factors such as profitable growth, strong margins, working capital optimization and prudent capital expenditures. I am proud to report that the resulting consolidated TTM ROACE continues to be strong at 22% compared to 24% a year ago. As demonstrated through our results, CES is bigger, stronger and more resilient than ever before, enabling financial stability during volatile industry periods and valuable optionality for capital allocation options. At this time, I would like to turn the call back to the Operator to allow for questions.
Operator: Thank you. [Operator Instructions] The first question comes from John Gibson with BMO Capital Markets. Please go ahead.
John Gibson: Hey. Good morning. Thanks for taking my questions. Just first on some of the investments you’ve made in Jacam. Ken, can you talk about how that business could perform in a lower commodity environment? I know it’s more production oriented, but maybe weigh that with potential growth, especially with the investments you’ve made?
Ken Zinger: Yeah. Sure. I mean, we have got some -- we believe we have some business coming this year that we’ve been verbally notified of. This hasn’t been formally awarded yet, so we’re not prepared to speak to that yet, but it’s enough business that we couldn’t handle it with the current structure. So we had to put some capital on the ground in order to increase storage at the facilities and get some delivery capability, as well as hire quite a few people to support it. So pretty excited about Jacam and PureChem. Both are growing in this. Actually, every division is growing in this market right now. So I don’t believe there’s any risk in the market that that growth doesn’t continue this year based on what we see in front of us.
John Gibson: Okay, got it. Thank you. And second, I mean, you talked about in the preamble that CES has historically taken these downturns and turned it into market share gains. I don’t even know if we’re there yet, but I guess, are we there yet in terms of pricing, compression, having to work with customers a little bit in any of your businesses or is that something you’re maybe projecting here into Q2 or the back half of the year?
Ken Zinger: No. I think the analysts are all talking about a potential slowdown. I personally -- we’ve had a handful of customers, let’s put it that way, reach out about finding ways to improve costing, either through how they’re utilizing chemistries or the types of chemistries they’re using. So there’s a little bit of noise in the market, I would describe it as, more so in the U.S. than Canada. Personally, I don’t -- this is nowhere near any kind of downturn. We’re facing something that could happen. It’s not a definite and it’ll all depend on the outcome of the tariff stuff that’s going on in the U.S., as well as whatever happens at OPEC. But we’re not anticipating a big slowdown, and we’re definitely positioned and have already started taking advantage of some of that, as you can see by the rate counts in the U.S. and how we’re growing share, even though the counts are declining. And we’ve been talking about the fact that our U.S. Drilling Fluids Group has been growing throughout the last couple of years, and that has continued into this little bit of a lull here while everybody waits to see what’s going on.
Tony Aulicino: The other thing I would add, and this is updated every quarter in our investor presentation that’s posted on the website, is the nature of our customers that support the outsized growth and maintenance of strong market share. 80% of our customers -- 80% of our revenue is derived by public company customers that are typically bigger, more active and more results-oriented. And 70% of all of the revenue that we get are from companies that have market caps of $10 billion plus, up to $700 billion to 800 billion. So these are results-oriented guys that aren’t tone-deaf to the WTI fluctuations, especially as you get into the 60s or lower than that for a period of time, hopefully. But these are also typically, as you’ve seen through research and a lot of announcements, towards the lower end of declines in activity levels and recounts.
John Gibson: Great. I appreciate the response, guys, and we’ll turn it back. Thanks.
Ken Zinger: Thanks, John.
Operator: [Operator Instructions] The next question comes from John M. Daniel with Daniel Energy Partners. Please go ahead.
John Daniel: Good morning, guys. Thanks for having me. I was trying to write as fast as I could, and I missed some things, so hopefully you can remind me. On the headcount, can you tell me what those numbers were and the change and then what’s driving that? Sound like it’s…
Tony Aulicino: Yeah. Sure. I’m just pulling that paper up. I know roughly what it is. But the change is being driven primarily by the growth that we’re seeing, both that contributed to the revenue increase in Q1, as well as what we have in the books coming in the second half of the year. So our growth was we went up by 83 people between January 1st and March 31st from 2,530 to 2,613.
John Daniel: Wow! Okay. That’s impressive. Going back to your customers, you mentioned you work for a lot of the sort of more consequential ones, sort of $10 billion market cap and more, and those have been the ones leading the consolidation efforts. Can you speak to how quickly they shift work from home to their incumbents such as CES? What’s the transition time?
Tony Aulicino: Yeah. It takes time. It can take months, but on average…
John Daniel: Okay.
Tony Aulicino: Yeah. The punchline is we’ve been neutral in most of those cases, positively affected by that…
John Daniel: Yeah.
Tony Aulicino: … consolidation for the reason that you just mentioned.
John Daniel: Okay. That’s good. And then the last one, sorry to be a question hog, but I think you mentioned in response to the prior question, you said something along changes in the chemistry. Can you elaborate on that and how do those changes impact world performance?
Ken Zinger: The types of chemistry we run vary. Like, the prices on that stuff moves around all the time, so different ingredients can cause different commercial products to vary and…
John Daniel: Yeah.
Ken Zinger: … you can have chemistries that work equally as well. It’s just that as prices come down on a specific input, it can affect the overall cost of that product, so it just -- it’s constantly evaluating to see if we can go back and forth between the cheaper commodities that are out there.
John Daniel: Fair enough. Okay. So nothing material from a production standpoint down the people by changing the chemistry.
Ken Zinger: Correct.
John Daniel: Okay. Awesome.
Ken Zinger: Is that in conjunction with operators?
John Daniel: Okay. Perfect. Thank you.
Ken Zinger: Thanks, John.
Tony Aulicino: Thanks, John.
Operator: The next question comes from Keith Mackey with RBC. Please go ahead.
Keith Mackey: Hey. Good morning. I’d just like to start out on the margin. Can you comment on what you think the margin in Q1 would have been, absent some of those transitory items you talked about? And secondarily, how do you think the rest of the year plays out relative to that 15.5% to 16.5% range?
Tony Aulicino: Yeah. Sure. I’ll start off. So, when you look at those items, product mix is something that is unpredictable in a given month, week, quarter, so let’s park that one because that could go either way. And then there’s another component, which is an elevated level of SG&A that we began to realize in Q1 to support some of the very focused revenue increase opportunities that we’re likely to see in Q2 and Q3, and we’re prepared for them right now. And so that one is going to stick for the next couple of quarters. And -- but the other bigger one that was the transitory nature was the increased costs that we realized in Q1 as a result of FX fluctuation where our products got more expensive, and it takes a little bit of time to pass that on. And absent that specific one, we would have expected margins to be up by approximately 40 basis points to 50 basis points versus the 15.8% that we’re at. And then I guess the other part that I’d be remiss in not emphasizing is the fact that that product mix can swing either way. The SG&A drag is not massive, but it’s a great investment given the great opportunities we see in front of us and we could throttle that back if we need to over the next quarter or so. But again, logically, we’re going into Q2 versus Q1, and because of our Canadian business and breakup, you’ll see EBITDA and margins a little bit lower as you always see every year.
Keith Mackey: Got it. Okay. So the baseline…
Tony Aulicino: Does that help? Yeah.
Keith Mackey: Yeah. The baseline would have been higher in Q1. You’re going to see a bit of a downtick in Q2 based on some seasonal factors and whatnot?
Tony Aulicino: Correct. And also inherent in that is the answer to the second part of your question was expectation of higher margins in the second half of the year.
Keith Mackey: Got it. Got it. Okay. Now if we think about some of the CapEx reductions announced by some of the E&Ps in the U.S. mostly, are you starting to see outsized asks for pricing cuts or is it the same level of pricing pressure you’d be experiencing currently? Just curious if we can get some commentary there that might help us think about how we should be forecasting margins for the rest of the year.
Tony Aulicino: Again, it’s -- I’ll start, and Ken’s a veteran having led this company through previous downturns, right? Like, 2015, 2008, again, COVID. But what we’ve seen was, to be honest, a shockingly muted response to the significant WTI volatility that we started seeing three or four weeks ago when TI got down to $55. At that time, we worked with all of our partners across the company and there was very muted response. And in fact, over the ensuing couple of weeks, there were only a couple of situations where there were very significant demands for pricing concessions and it was less than you would count on one hand. And in each of those few cases, our divisions were able to negotiate something that was a little bit of a price reduction, and came to terms on a scaling slide where they understand that there will be a reduction in pricing pressure if you’re in $55 area. For WTI, that’s pretty clear. The consensus seemed to be if you’re at $65, nobody loves it, but things are okay. At this level, at $60, it’s tough, right? And then you saw some great companies like Diamondback and EOG over the last week doing the right thing by adjusting some of their plans. But I would say, compare -- if you look at the information and the relative responses during 2020, 2015, we was -- we’ve seen nothing as significant as you saw in those periods.
Ken Zinger: Yeah. I think -- I’ll jump in there and just say that, what we’ve seen so far, as far as impact from WTI, is nowhere near to what the extremes that we’ve seen in the past. So let’s, first of all, sort of quantify that this is a minor downturn at this point that looks like it could either turn into something or it could turn into nothing. So I would say that customers have come to us, pretty much all of them, and we’ve been talking to them about pricing in the event that oil prices collapse, and we’ll have a plan for that. But where we’re at currently, we’re working with everyone. They don’t want to see us making outsized margins, I would describe it as, based on our inputs going down in costs, which happens to a slight degree when oil prices come down. So we’ve got to be cautious of that and cognizant of that and make sure that we’re sharing those wins on the cost side. But other than that, it’s -- every day, the way that an oil company can demand price relief is to tell you they’re going to fire you and put someone else on it. And when every service company is facing the same pressure, it’s unusual that somebody drops to the bottom, especially with the limited number of service company competitors we have today. So discipline on the service side, combined with being fair with oil companies, will get us through this. And once again, this is -- we’re kind of in no man’s land here at $60, where it’s really, it’s not great, but it’s not that bad. We’re not in the $40 range like we were in 2016 and we’re not in the negative range like we were in 2020. So, I think it’s a much more muted pressure right now.
Keith Mackey: Thanks. I appreciate the comments.
Tony Aulicino: Thanks, Keith.
Operator: The next question comes from Tim Monachello with ATB Capital Markets. Please go ahead.
Tim Monachello: Hi, guys.
Ken Zinger: Good morning, Tim.
Tony Aulicino: Good morning, Tim.
Tim Monachello: Good morning. The Canadian market share was through the roof this quarter. Has yet 45% to record. U.S. market share also really strong. Is part of the product mix issue that you’re seeing just based on the fact you’ve got more activity and that activity profile probably has more monetized offerings within it?
Tony Aulicino: One thing that we did notice, I’ll start on something that was a little bit revealing during Q1 especially, was that big uptick that we saw or that notable uptick that we saw in rig count that we were on in the U.S. in particular. That came pretty quickly and with a steep curve. And when you look through the numbers and the nature of those rigs that we were bringing on, many of them were not turning to the right immediately. Some of them were moving, and many of them were initially working on the lower revenue per rig per day parts of the drilling programs on multi-well pads for a few weeks. And that results in, yeah, you are on the rigs, and yeah, the rig count is higher, but the actual revenue that you’re earning and the EBITDA and margin that you’re earning is lower during that period of the well program.
Ken Zinger: And then I’ll add to that, direct to your question on Canada. The pressure in Canada, the work that we picked up in Canada and the inroads we made was primarily in the same stuff which is the higher technology driven stuff. The problem in Canada was the exchange rate. Q4, Q1, those numbers started to get hit as our costs went up and that aligned. In a normal market, we would have been passing those through as fast as we could. But in the market we were in where oil was under pressure, tariff uncertainty and election, everything that was going on, super hard to get anybody to want to accept an increase. So we had a really tough time getting increases to match what we were feeling. So we just had to absorb all that. And going forward here, the good news is Canadian dollar has come back down to where it was, Canadian dollar U.S. exchange rate. So we’re hopeful that the second half of the year we’ll be in a better spot in Canada.
Tim Monachello: Got it. I guess second part of that question is, do you think that Q1 market share was an anomaly in Canada? Do you think you’ve crossed the threshold where market share will be higher going forward? Obviously, probably not at the same exact level that you’re at Q1, but higher going forward?
Tony Aulicino: Yeah. I mean, I don’t -- we’ll see. It’s bidding season in Canada right now. So we got to go through all that over the next few months. I don’t know what the ratio is, but 30% or 40% of our customers have deals that will continue through and the other half to 60% will have to go re-bid. But we’re pretty comfortable with, we know where the market is, and we’re pretty comfortable we’ll be able to retain the work we’ve had. And so I would say that we would hope to continue. I will also say that your number is higher than what we had based on our rig count versus the posted sort of Nicholas [ph], Baker numbers for rig count. But it is what it is and we expect it to continue.
Tim Monachello: Yeah. I was using the Baker one in Canada. I think you guys use Nicholas to view. Okay. And then, sorry, I got on the call a little bit late, but the capital allocation stocks have been under pressure again today. Are you thinking about the NCIB, M&A, growth all relative to each other, especially in a market that is a little bit uncertain here?
Tony Aulicino: We’re not going to have an immediate reaction is number one. Number two is given our leverage, our liquidity and our business model, we’re well-positioned to take advantage of opportunities. And those opportunities could be small, high-quality tuck-ins that tend to become very attractive opportunities during environments like this. On the NCIB, we’ve been buying consistently every single day, including while in blackout, where our dealer has instructions that we don’t influence at all during that period. We’ll come up for air on Tuesday morning to be able to alter those instructions and be more opportunistic. We’ll get through the balance of approximately $3 million on the NCIB. We get asked the question a lot on the SIB. We’ve learned where the stock lies and how to take advantage of blocks and opportunities, and we’ll do that as soon as we come out of blackout. In terms of an SIB, we absolutely have the liquidity to do it if we wanted to do it. And as Ken and I have said before, we’re very comfortable seriously considering talking to the Board about an SIB when there’s a very logical dislocation -- absolute dislocation in the value of the stock and the things that are causing the stock or the sector to be under pressure. When you have things like the economic uncertainty that we have in North America and globally, and probably even more specifically the WTI construct uncertainty that you have right now based on what’s happening with OPEC in Saudi Arabia, we believe it would be misguided to try something like that with conviction. However, if the business continues to go well and we do see stability on those things that were otherwise big variables, like the price of WTI and supply and demand, we would obviously take that more seriously because we have the ability to do it.
Tim Monachello: Okay. Thanks for that. And then just one quick follow-up on the pricing dynamics. Is that the conversations you’ve had around scalable pricing and lower commodity price environments? Is that isolated Drilling Fluids? Are you seeing that on the Production Chemical side as well?
Ken Zinger: To-date, the vast majority has just been on the Drilling Fluids side.
Tim Monachello: Okay. Thanks. I’ll turn it back.
Operator: The next question comes from Jonathan Goldman with Scotiabank. Please go ahead.
Jonathan Goldman: Hey. Good morning, guys. Thanks for taking my questions. Most of them have already been answered.
Ken Zinger: Hi, Jon.
Jonathan Goldman: I just have one follow-up. Ken, I believe you guys made some investments to kind of improve operations, whether it’s vertical integration, buying new assets to kind of buffer margins a bit or maybe improve margins. A lot of the conversation today has been about downsides to pricing and the macro, but I feel you guys have done a lot of internal initiatives to improve margins through the cycle regardless of what happens in the macro. Can you just maybe walk us through some of those things and how those actually improve margins?
Ken Zinger: Sure. Yeah. I mean, it’s been a long process over the years between grinding facilities in the United States, which at the time we built them provided us with an advantage over our competitors in the United States. Today, we’re using those facilities to support the Canadian market as well. That also is providing advantage for us up here. We bought Sialco in 2017 or 2018 to do specialty manufacturing for us and work on new products and new opportunities. That’s transforming now with all this tariff stuff and the potential cross-border issues to where it’s becoming more like a manufacturing facility, similar to what Jacam is for the Jacam Catalyst Group, the Kansas facility. Sialco in Vancouver is becoming a bigger part of the general manufacturing for PureChem and CES in Canada. There’s not much we can do about the general commodity products and the products that everybody has, but on the stuff that we can make ourselves, it gives us the ability to really specialize, which has of course led to all the service intensity stuff that we’ve seen over the last couple of years, but also it helps us on cost of goods and security of supply and in this case, avoiding potential tariffs.
Tony Aulicino: And we -- we are -- once again, I just say, like, we -- we’re investing right now for growth. We are not in a position of contraction. We believe we have more in front of us than behind us.
Jonathan Goldman: That’s good color. Then maybe touching on something you mentioned there, the service intensity thematic. How do you see that playing out going forward? Has it increased year-on-year? Is it still increasing the service intensity and the fluid intensity in the market?
Ken Zinger: It is. Yeah. And I think it’ll have to continue and potentially even get greater as U.S. production comes down or flattens to come down. If you do get a 10% drop in rig count in the U.S. short-term, that’s going to have massive impact on the value they have to get out of the rigs that are working. Plus, I think it’ll lead to weigh more rigs later when it comes back on and that decline starts becoming more prominent. So intensity is still there, still growing and we’re still capitalizing on it. I think part of what’s happened is 2024 was an extremely stable period of time for CES. We were really able to fine-tune our supply chain and our manufacturing and everything we were doing. Coming out of the COVID crisis and all the international shipping problems that the world was facing in 2022 and early 2023, we really got locked in over 2024. And then at the end of 2024, beginning of 2025, obviously, we have this complete rollover on everything we were doing where we have to re-evaluate everything. And so it’s going to take some time to grow into that and figure out all the nuances, but we’re working through it and we’ll get there.
Jonathan Goldman: No. Definitely nice to see the work started to bear fruit and continue to bear fruit. Thanks for taking the time, guys.
Tony Aulicino: Thanks, Jonathan.
Ken Zinger: Thanks, Jonathan.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Ken Zinger for any closing remarks. Please go ahead.
Ken Zinger: Thank you, everyone, for joining us on the call today. As always, we appreciate your attendance and we look forward to seeing you in August.
Operator: This brings us to a close today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.